Operator: Good day, ladies and gentlemen. Thank you for standing by and welcome to the EHang's Fourth Quarter and Fiscal Year of 2024 Earnings Conference Call. Please note that the management’s prepared remarks and the subsequent Q&A session will be primarily conducted in Chinese. And the corresponding simultaneous or consecutive interpretation can be accessed on the English line. As a reminder all translations are for convenient purposes only. In any case of any discrepancy the management statement in the original language will prevail. To listen to the original remarks by the management, please join the Chinese line. Additionally, both the Chinese and English lines are open for questions, and today's call is being recorded. Now I will turn the call over to Anne Ji, EHang's Senior Director of Investor Relations. Ms. Anne, please proceed.
Anne Ji: Hello everyone. Thank you all for joining us on today's conference call to discuss the company's financial results for the fourth quarter and fiscal year of 2024. The earnings release is available on the company's IR website. Please note the conference call is being recorded and the audio replay will be posted on the company's IR website. On the call today, we have Mr. Huazhi Hu, our Founder, Chairman and Chief Executive Officer; Mr. Zhao Wang, Chief Operating Officer; and Mr. Conor Yang, Chief Financial Officer. Before we continue, please note that today's discussion will contain forward-looking statements may pursuant to the safe harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. Forward-looking statements involve inherent risks and uncertainties. As such, the company's actual results may be materially different from the expectations expressed today. Further information regarding this and other risks and uncertainties is included in the company's public filings with the SEC. The company does not assume any obligation to update any forward-looking statements, except as required under replicable law. Also, please note that all numbers presented are in RMB and are for the fourth quarter of 2024 unless stated otherwise. With that, let me now turn the call over to our CEO Mr. Huazhi Hu. Please go ahead Mr. Hu.
Huazhi Hu: Hello everyone, and thank you for joining our earnings call. Q4 and full-year 2024 marked another record-breaking period for EHang. We continue to grow significantly, beating our guidance and setting new record high quarterly and annual deliveries and revenues. In Q4, we deliver 78 units of EH216 series product, generating revenues of RMB164 million, representing an increase of 239.1% year-over-year. For the full-year, we delivered 216 units with a total revenue reaching RMB456 million, marking a 288.5% year-over-year increase. More importantly, 2024 was a breakthrough year as we achieved positive adjusted net income and positive operating cash flow for the first year, a significant milestone in EHang’s decade-long journey. With this, EHang also became the first eVTOL company in the global urban air mobility industry to achieve non-GAAP profitability, further solidifying our leadership. At China's 2025 two sessions, the low-altitude economy took center stage as strategic emerging industry and a key driver of new quality productivity. For the second consecutive year, it was included in the Government Work Report, which explicitly calls for large-scale demonstration projects to advance new technologies, new products, and new applications to promote the sector's safe and healthy development. Additionally, China's NDRC, National Development and Reform Commission, established a dedicated low-altitude economy development department in December 2024. Meanwhile, the local governments in over 50 cities across China have introduced their localized development plans for the sector. These government initiatives further highlight China's long-term national strategy and strong commitment to developing the low-altitude economy. If 2024 was the year of planning for low-altitude development, 2025 will be the year of its implementation. Since obtaining the three airworthiness certificates, we have been accelerating the commercial deliveries and operational deployment of the EH216-S. Our customers have already established over 20 eVTOL operational demonstration sites and e-ports across 16 cities in China, including Hefei, Guangzhou, Shenzhen, Shanghai, Wuxi, Taiyuan and Wenzhou. This year our top priority is to launch operational demonstration projects in key cities to enable the public to experience the eVTOL flights firsthand. To this end, we have been actively driving the operator certification process for a pilot-less passenger carrying eVTOL aircraft. Currently, the Civil Aviation Administration of China has completed document and on-site inspections for the first two applicants accepted. They are EHang General Aviation, our wholly-owned subsidiary, substantializing in UAM operation services, and Heyi Aviation, our joint venture in Hefei. Both are now awaiting the final approval. We look forward to the early issues of the two operator certificates, marking the beginning of the commercial eVTOL operation era. Looking ahead, we expect more operators to apply for the operator certificates, paving the way for broader commercial flight service of the EH216-S in the future. 2025 marks a pivotal year for AI technology innovation in China globally. This year's government work report reaffirms the nation's commitment to the AI Plus initiative, emphasizing the exploration of AI applications across various industries, including the low altitude economy. As a pioneer in pilotless, eVTOL, EHang continues deepening our AI Plus strategy. Leveraging our core technologies, including safety redundancy, autonomous flight, and fleet management, along with intelligent system platform where integrating AI across the whole eVTOL lifecycle to drive intelligent upgrades and innovative practices in commercial operations. This includes further optimizing our key technologies and capabilities such as intelligent flight control algorithms, autonomic detection, flight road planning, command and control, human-machine interaction, scenario simulation, and the UAV cloud system. Beyond enhancing our aircraft, AI is set to expedite the construction and enhancement of the digital infrastructure for air mobility. EHang will collaborate with multiple Chinese universities, colleges, and relevant government departments and the commercial conglomerates to advance the integration and innovative integration of digital technologies such as 5G, 6G satellite communication sensor technologies and high-precision navigation with the low-altitude aviation industry. Together, we aim to build a smart, low-altitude ecosystem interconnecting air traffic infrastructure, flight corridors, communication and navigation systems, airspace management, and operational services. This will establish a secure, efficient, and intelligent digital foundation to support commercial operations for EHang and our customers. On the product front, we continue to advance our multi-rotor eVTOL series through strategic collaborations with the leading upstream companies, including INX, Greater Bay Technology, and Empower. Together, we are developing and customizing the next-generation high-energy solid-state lithium batteries, fast-charging batteries, and electric motors. We have achieved great progress in simple design, prototyping, and testing. We conducted the industry's first eVTOL test of light powered by solid-state lithium batteries, delivering an impressive endurance of over 48 minutes. We are thrilled about this major technological breakthrough that it reinforces our confidence in next phase overall performance enhancements. For our upgraded lift and cruise model VT-35, it’s prototype is in its final assembly and testing. We plan to complete the full functionality test flights as soon as possible and initiate the airworthiness certification process. It will be unveiled soon. For the flying car that targets the mass consumer market, we formed a cross-industry strategic partnership with China Automobile to actively design and discuss new product solutions to explore innovative approaches to future personal transportation. Over the past decade, EHang has pioneered numerous industry first, and we firmly believe the next 10-years will witness the rise of the low altitude economy, disruptive development of AI technologies, and transformative development in unmanned aviation. As the saying goes, a journey of thousand miles begins with the first step. As EHang enters its next decade in 2025, we remain steadfast in our commitment to advancing technological innovation, industry standards, operational demonstration, and ecosystem development of pilotless eVTOLs. We aim to lead the transformation of urban air mobility while promoting the safe, healthy, and sustainable development of the industry. Next, I'll turn the call over to our COO, Mr. Wang. Thank you.
Zhao Wang: Hello, everyone. This is Wang Zhao. We closed 2024 with record high deliveries and revenues, exceeding our performance guidance. This success is driven by strong market demand and growing customer orders. In particular, our EH216-S autonomous messenger, eVTOL, has received a 30-unit order from Shandong province, a 30-unit order from Zhejiang province, along with an initial five-unit order and an indicative order from another 45 units from Sunriver, with the result of 78 units deliveries in Q4 and RMB164 million revenues. The total annual deliveries reached 216 units, with a total revenues of RMB456 million. To meet the continuously growing order demands, we are focusing on enhancing production efficiency, scaling production capability, and planning capacity expansion. Guided by our manufacture-to-order principle, we are establishing our regional and networked production-based layout in South China, East China, and North China. In South China, our Phase 1 Yunfu production base currently has an annual capacity of 300 units. This year, we plan to expand Phase 2 with 24,000 square meters of new production lines, while upgrading automation and efficiency. By 2025, Yunfu production base is expected to reach double size and a total annual capacity of 1,000 units. It will also produce a large number of aviation materials and components for our customers. In East China with Hefei as our regional headquarters, we are further deepening strategic cooperation with Hefei government, partnering with the advanced and new energy vehicle manufacturers JAC Group and Hefei Guoxian Holdings to build an advanced, generalized, and automated eVTOL manufacturing base. Additionally, we are collaborating with the Weihai High-Tech Zone in China province to establish a pilotless passenger eVTOL R&D and manufacturing base there, creating an all-around collaboration system, integrated production, sales, and operations. In North China, we have entered a partnership with the Beijing Fangshan district government to establish a national headquarters for low-altitude emergency rescue equipment. The headquarters features a 72,000 square meter factory, a training center of over 100,000 square meters, and a training and exercise base of hundreds of acres. Leveraging EHang’s current flight platform and autonomous flying technologies, we plan to vigorously develop R&D production and operations in the fire emergency rescue sector, providing support for the life safety with autonomous flying vehicles. This year's two sessions promoted large-scale application demonstration actions and the safe and healthy development of the low-altitude economy, which are deeply in line with EHang’s development strategy. We fully endorse this principle. Safety is the top priority of the sector. From the eVTOL design to the flight and operational system, EHang has implemented comprehensive safeguards for commercial operations. EHang has integrated the full redundancy philosophy from the IT sector into the design of our pilot-less passenger eVTOLs, and has passed vigorous airworthiness testing and certification. The three major electrical systems within the aircraft all have sufficient redundancy with backups, eliminating single-point failures. As the low-altitude economy approaches a critical phase of mass adoption, the industry requires a suite of scientific comprehensive, rigorous, and safety-oriented operational framework for eVTOLs. During the operator certification review process, EHang worked closely with government agencies, regulators, academic institutions, and industry associations to advance the establishment and improvement of relevant standards and regulations. To strengthen safety operations, we have internally optimized our organizational structure to establish a comprehensive safety operational system and team. From product sales, customer service, personal training, aviation material sales, maintenance and repair and software system, to landing path design, route planning and integrated operational services. We are building a full cycle value chain in compassing hardware services and operations to provide customers with one stop solutions. Looking ahead, our revenue streams will become more diversified. This year, EHang remains committed to the safety first principle, while focusing on low-altitude tourism as the key entry point in urban air mobility as a large-scale goal to expand our UAM operational network in pioneer cities to demonstrate the low-altitude economy and then systematically scaling operations from point-to-point connections to a fully integrated network. For example, our second UAM hub at Luogang Park in Hefei, the eVTOL operations center at Longhua Airport in Shanghai’s Xuhui Riverside and the first automated vertiport at the UAM center in Luohu, Shenzhen. These flagship projects serve as typical models. Over the next three years, we will work with partners such as China Construction Group, China Communications Construction Company, and other infrastructure construction units, local governments, and major commercial partners to jointly develop more than 100 urban air mobility terminals and more than 100 low-altitude cultural tourism terminals in national 5A-level scenic’s areas across China. We aim to build a city level, low-altitude economy flight service system and carry out integrated business cooperation that combines culture and tourism, transportation, emergency response, and logistics. In 2025, based on EHang’s current mature flight platform and autonomous flying technologies, we will not only vigorously develop passenger business, but also develop non-passenger business. The fire emergency rescue sector has already been established in the capital Beijing. Besides, EHang is committed to developing low-energy, long-endurance logistics UAV products, which will greatly promote the development of low-cost, high-efficiency aerial logistics transportation. We aim to realize applications in inter-provincial, inter-provincial, and cross-border logistics scenarios. Currently, we have started exploration and layout in Beijing, Guangdong, Guangxi, and Hainan. Overseas, we are expanding our presence in Asia, Europe, and South America to continuously advance our market development, flight scenarios, and regulatory approvals. In Q4 last year, we conducted three consecutive days of EH216-S passenger carrying flights in central Bangkok, Thailand, and planned to launch commercial trial operations this year within the sandbox areas designated by the Thai Civil Aviation Authority. In Japan, we completed a new four-city flight tour, expanding our flight footprint across 16 cities and showcasing multiple use cases, including aerial sightseeing, inter-island transportation, aerial logistics, and emergency services. In February this year, EH216-S completed Europe's first autonomous eVTOL flight in an urban environment in Benidorm, Spain. Setting a precedent for future urban air mobility deployment in Europe, most recently we conducted our first flight in Mexico, further expanding our global footprint to the 19th countries. To-date, our cumulative flight record has surpassed 64,000 flights. As we move into 2025, we will continue to execute our global market strategy of deepening domestic business, while expanding globally. We'll remain focused on both sales and operations, further diversifying our revenue streams. Amidst China's trillion-level low-altitude economy and the Blue Ocean market, along with the great potentials for aerial sightseeing across nearly 15,000 Class A and above tourist attractions and nearly 700 cities for urban air mobility, we remain optimistic about the strong demand for our eVTOL product and operational services. Confident in our long-term growth prospects, we expect total revenue for 2025 to reach RMB900 million, representing an approximately 97% increase year-over-year. Now, I'll turn the call over to our CFO, Conor, for the financial performance. Thank you.
Conor Yang: Hello, everyone. This is Conor. Before I go into details, please note that all numbers presented are in RMB, unless otherwise stated. Detailed analysis are contained in our earnings press release, which is available on our IR site. I will now highlight some of the key points here. I am pleased to report that we closed 2024 on a strong note, surpassing expectations for both Q4 and the full-year. In Q4, we achieved record revenues of RMB164.3 million, representing an impressive 190% year-over-year growth. For 2024, our total revenues reached an all-time high of RMB456.2 million, up a substantial 289% year-over-year. This outstanding performance was primarily driven by strong eVTOL market demand, along with our well-coordinated and impactful strategic initiatives in key areas including OC certification, production scaling, and commercial readiness. On deliveries, we set a new quarterly record with 78 units of the EH216 as delivered in Q4, marking a 239% year-over-year increase and a 24% sequential growth. For 2024, total deliveries of the EH216 series reached 216 units, up 315% from 52 units in 2023. Our gross margin for Q4 was 60.7%, slightly down from 64.7% in the same period of 2023 and on par with Q3. For full-year 2024, the annual gross margin was 61.4%, a slight decrease from 64.1% in 2023. The decreases in gross margin were primarily due to changes in the revenue mix and higher unit costs for the EH216-S. Despite these modest declines, our gross margin remained high at 60%, highlighting our competitive edge and pricing power in the eVTOL sector. Turning to the operating expenses, in Q4 adjusted operating expenses, which is defined as operating expenses excluding share-based compensation, were RMB78.2 million, up 22% year-over-year from RMB64.2 million, but down 10% from Q3. The sequential decline reflects cost control and efficiency optimization, while the year-over-year increase was mainly due to the expansion of sales channels, higher employee compensation, and investments in new eVTOL models. In addition, we continue to actively invest in the development and iteration of new eVTOL models and technologies since we obtained the three airworthiness certificates. For 2024, adjusted operating expenses were RMB290.1 million, up 28.2% from RMB226.3 million in 2023. Strong top-line growth and cost efficiency contributed to a solid improvement in non-GAAP profitability. Adjusted operating income for Q4 was RMB27.9 million, a significant improvement from the adjusted operating loss of RMB24.9 million in Q4 2023 and up 208.2% from Q3. In Q4, we realized the third consecutive quarter of adjusted net income for RMB36.4 million, a sharp improvement from the adjusted net loss of RMB22.1 million in Q4 2023, and up 132.3% from Q3. For 2024, we achieved the first-ever annual adjusted net income of RMB43.1 million, a significant improvement from the adjusted net loss of RMB139 million in 2023, marking our entry into a new phase of sustainable and accelerating profitability. Alongside a strong revenue growth and improving profitability, we also maintain a solid liquidity position. As of the end of Q4, our total cash and cash equivalents, restricted short-term deposits and short-term investments, was RMB1,155 million. This strong cash balance provides us with strategic flexibility to support growth initiatives, invest in innovation, and enhance market competitiveness. Notably, we recorded our fifth consecutive quarter of positive operating cashflow and the first ever annual positive operating cashflow, amounting to approximately RMB160 million in 2024, demonstrating our ability to generate a sustainable cash flow, while scaling operations. Looking ahead to 2025, we are in the final stretch of obtaining operator certificates. We believe that the achievement of this key milestone along with our active progress in eVTOL commercialization readiness, operational deployments, production scale up, technological innovation, and a global market expansion will further solidify our industry leadership, a strong foundation for accelerated growth and drive us into a new growth cycle. Based on our current progress and market demand, we're expecting a total revenue in 2025 of approximately RMB900 million, representing a year-over-year increase of 97%. Thank you.
Operator: Thank you. Now let's open the call for questions. [Operator Instructions] Your first question comes from Ting Song from Goldman Sachs. Please go ahead.
Ting Song: [Foreign Language] [Interpreted] Hi, thank you for taking my question. I just have a question which is regarded on the production capacity. I know we are expanding our production capacity for the Yunfu Phase 2. So wondering what kind of added production capacity we're looking at for the Hefei production facility by the end of 2025 and 2026? And also if we're talking about a total production capacity of 1,000 units. So how much volume are we seeing? So how much will be the utilization rate. I'll be looking at between 2025 and 2026? Thank you.
Huazhi Hu: [Foreign Language] [Interpreted] I will take this question. For Yunfu Phase 2 for the capacity expansion, this will complete this year reaching total annual capacity of 1,000 units. And the Yunfu Phase 1 and Phase 2 production lines will have specialized focuses. They will be focusing on aviation materials, flash components, manufacturing, and aircraft assembly respectively. So additionally, with our joint venture with Empower, we are also upgrading the production lines, improving the automation and efficiency in manufacturing and supply chain management. With regard to Hefei, we plan to establish a JV with JAC motors and Hefei Guoxian holdings to build a modern low-aptitude aircraft manufacturing facility. And according to the planning of the government, of the local, of the local government, the expansion construction work is expected to be completed in 1.5 and two years. And Additionally, we also have plans for production in Weihai, Shandong province and Fangshan district of Beijing as previously mentioned. And our expansion for the capacity follows manufacturing to order principle. So we will adopt a systematic growth strategy across different parts of China, say South, East, and North China. And they will have specialized management for different product lines, including passenger transport, logistics, and emergency response and firefighting. Thank you.
Operator: Thank you. Your next question comes from Cindy Wang from Morgan Stanley. Please go ahead.
Cindy Wang: [Foreign Language] [Interpreted] Thank you for answering my question. First, congratulations on the strong Q4 results. Could management provide additional color on the executive timeline for our OC application? What are some of the milestones we are expecting with regard to the application? And my second question is that when are we going to achieve a GAAP profitability with our collaboration initiatives and also the construction of many of the infrastructure and facilities. Can you please offer a ballpark, CapEx and OpEx for the coming quarters of this year? Thank you.
Huazhi Hu: [Foreign Language] [Interpreted] Let me take your first question. We are glad to announce that we have a complete -- sorry the CAAC has completed and the acceptance and on-site inspection of these two AC applicants, that's for our Heyi subsidiary company. And we are now just waiting for -- so we have pretty much completed all the required work and just waiting for the final regulatory approval. So we also expect these OC will be rewarded to us as soon as possible. But so the inspection and everything I mentioned itself is already a milestone and these will provide the basis for us to roll into commercial operations as soon as possible. I want to emphasize that these will be the first unmanned eVTOL OC issued under the new interim regulations for the UAV flight management. So the certification process itself is establishing and also refining the standards. So it is a significant responsibility that will set crucial precedence for the safe commercial operation of EH216-S and all unmanned passenger carrying aircraft in China. Thank you.
Conor Yang: [Foreign Language] [Interpreted] Okay. This is Conor, I will take your second question. As we have mentioned, we have achieved a non-GAAP profitability in 2024. And with your question of how and when are we going to achieve a full-year GAAP profitability, so according to our plan and also our estimated revenue growth of 97%, which is RMB900 million revenue in 2025, we expected to achieve GAAP profitability quarterly in the second-half of 2024. However, for full-year GAAP profitability, that will be sometime in 2026. So with regard to CapEx, our full-year CapEx guidance for 2025 will be [$14] (ph) million. And the CapEx will be used in scaling up our production capacity in Yunfu Phase 2, Weihai, [Heyi] (ph), as well as our planned production site in Fangshan district, Beijing. And we will also use some of the money for developing models that will be used in emergency response and logistics. Plus, there's going to be investment in construction of our new headquarters in Beijing -- in Guangzhou. And we expect the OpEx to grow at 40% year-over-year in 2025. Thank you.
Operator: Thank you. Your next question comes from Wei Shen from UBS. Please go ahead.
Wei Shen: [Foreign Language] [Interpreted] Two questions. Good evening, management. Two questions, one is on the gross margin outlook and the other one is on financing plans in 2025.
Huazhi Hu: [Foreign Language] [Interpreted] Our targeted gross margin is around 60%, give or take. So to achieve that, we are going to adopt two initiatives. For one, we are going to invest more efforts, roll out more product lines to make our product offering more diversified with the diversification that's going to help drive up the gross margin. And the second initiative we're planning to, you know, whatever I just mentioned about is going to help grow the gross margin. However, we are planning to do distribution model, which kind of, you know, sacrifice the gross margin a little bit. But give or take, we are aiming 60% gross margin. So last year we reached nearly $100 million and also our current cash reserves exceeded RMB1.1 billion and as we've mentioned that our cash positive cash flow is around [RMB160] (ph) million for 2024. So as you can see that our business is itself you know we have a business of sustaining capability and healthy development. So with regard to this year, we will accelerate in market and business expansion, seeking additional financing to strengthen our capital position. This will support new eVTOL technology and product development, market expansion, new headquarters construction, production facility development and team growth. So ensuring sufficient funding for our next growth phase. Thank you.
Operator: Thank you. Your next question comes from Laura Lee from Deutsche Bank. Please go ahead.
Laura Lee: Hey, thank you for taking that question and congrats on a strong year. My first question is about the air taxi part. So we noticed there are increasing announcements of UAM, either you're building an experience center or development of digital infrastructures. So just wondering, is there any rough timeline for the air taxi operation and any notable milestones in between?
Zhao Wang: [Foreign Language] [Interpreted] Thank you. This is Wang Zhao, I will take this question. While air taxi services remain our long-term vision and mission, aviation prioritizes safety above all, requiring careful step-by-step progress. So over the next couple of years, we will first establish operations in domestic tourism areas to accumulate enough data before we venture into air taxi services. And also air taxi implementation depends on ground infrastructure, particularly vertiports, and many low-altitude digital infrastructures including communication, navigation, surveillance, air traffic management. Right now, cities across China have put forward clear and specific plans and timelines for the infrastructure construction. And with many planning hundreds of thousands of vertiports and routes over the next three years. As an industry pioneer, EHang is actively contributing to policy development and infrastructure planning. Our partnerships with the CCCC and CSCEC and many local governments are actually helping to build the ecosystem and framework for air taxi operations.
Operator: Thank you. Your next question comes from [Rongyuan Zhu] (ph) from Citix. Please go ahead.
Unidentified Analyst: [Foreign Language] [Interpreted] Thank you for the presentation and thank you for taking my question. My questions are on your overseas market. The first one is the progress of our OC certification, as well as the orders. What kind of situation are we at right now? And my second question is on our plans on diversifying our revenue streams. So with that, I mean particularly, what kind of revenue growth or mix are we looking at outside of manufacturing of these flying vehicles. So any guidance or plan on that?
Huazhi Hu: [Foreign Language] [Interpreted] I'll take the question. Since Q4, we have completed flight demonstrations in Japan, Thailand, Spain, Mexico and many others, expanding our flight footprint to 19 countries. Last year we delivered orders to overseas markets, that includes UAE, Japan and Dominica. As pioneers in pilotless passenger carrying aircraft, we are actively engaging with civil aviation authorities worldwide through local flight demonstrations and discussions to promote the airworthiness certification for this new aircraft. The CAAC is very supportive of our efforts in applying for international certification. And we are working together to promote the certification of unmanned passenger carrying aircraft overseas. We are actively exploring some innovative pilot-first approaches to expedite the international operations of our eVTOLs. Thank you. On your second question of diversifying our rapid extremes, EHang maintains a dual strategy of both operations and sales. So we position ourselves beyond just being an eVTOL manufacturer. We build a complete lifecycle value system for our customers, featuring hardware, service, and operations. So this includes product sales, customer service, personnel training, aviation materials, maintenance, software systems, and route planning and operations. As the eVTOL commercial operations scale up, EHang will develop more diversified revenue streams. And additionally, I want to tell you that beyond the passenger transportation, we are intensifying our efforts on logistics and firefighting business this year to broaden our revenue sources. Thank you.
Operator: Thank you. Your next question comes from Yiming Wang from China Renaissance. Please go ahead.
Yiming Wang: [Foreign Language] [Interpreted] Thank you for taking my question. I got two questions. One is on the update on new orders. And the second question is on the collaboration with the JAC production base. So what kind of roles will JAC and EHang play in this JV? And what kind of profit is split and also cost is split, we are looking at between you two? Thank you.
Huazhi Hu: [Foreign Language] [Interpreted] Our domestic demand is very strong, with the current intention order of exceeding 1,000 units, plus many more orders are under negotiation. Just so you know that we have dozens of clients, who place orders of dozens of units at each time. And additionally, you should know that China has nearly 15,000 Grade A and above tourism attractions for aerial sightseeing. And there are nearly 700 cities that offer or planning air mobility services. So we remain optimistic about the strong demand for our eVTOL products and operational services. Thank you. And with regard to your second question, The JV partnership with the JAC is actually carried out under the support of the Hefei municipal government. We are building a JV with JAC and Hefei- Guoxian Holdings Corporation to build eVTOL production base. So, JAC has accumulated expertise in manufacturing and supply chain management in the automobile sector, whereas for us, we are leading in the development, production and OC in the eVTOL sector. So this cooperation will bring the best of us and leverage both parties' respective advantages. And with regard to the specific details of this JV, it's still under discussion, and I'm sorry, I couldn't disclose more at the moment. Thank you.
Operator: Thank you. Your next question comes from Yu Chen from [Guangfu Securities] (ph). Please go ahead.
Unidentified Analyst: [Foreign Language] [Interpreted] First of all, thank you for taking my question and congratulate on the breakthroughs and strong results achieved in 2024. I got a question on the financials that I would like to double check with the management. So in Q4, we have seen that management and R&D related expenses grow significantly quarter-over-quarter in Q4. So how does management view the trends for these expenses for 2025?
Conor Yang: [Foreign Language] [Interpreted] This is Conor. I'll take your question. You know, that the companies are still expanding and that's why we're seeing substantial revenue and delivery growth over the past year. We're also expanding our team, leading to increased expenses. However, expenses as a percentage of revenue have decreased significantly. And looking into this year, we expected the sales and R&D expenses to grow, definitely for sure, with moderate to growth in management expenses. So as revenue growth will outpace expense growth, we expected the ratio of SG&A to revenue to continue declining. As you know, that we are projecting a 97% growth in our revenues, whereas our operation growth related costs will grow at 40% year-over-year. Thank you.
Operator: Thank you. Your next question comes from Ling Liu from Gocheng Securities. Please go ahead.
Ling Liu: [Foreign Language] [Interpreted] Thank you, two questions. One, is on the EH216 battery. So what kind of battery is it? What are the progress on the EH216 battery? What is the progress on the next generation lithium batteries? And what are the expected upgrades timeline and the anticipated flight endurance improvements? How are that looking? Second question is on the product of the VT-35 what's the update on that and when are we planning to submit to the TCE application? Thank you.
Huazhi Hu: [Foreign Language] [Interpreted] With regard to battery, right now we are pursuing two directions for the battery involvement. First, on the fast charging batteries. We are partnering with Greater Bay Technology and currently testing samples that could significantly reduce the charging time, so that's for one. And secondly on the solid-state batteries, our strategic investment in INX Energy is progressing well. We are having very excellent cooperation and R&D breakthroughs. So we have doubled the EH216-S flat endurance and we'll continue fine-tuning the performance and conducting more scenario validation. So we're aiming for mass production and installation by the end of this year. Thank you. With regard to the long haul model VT-35, right now the development of prototype is currently in its final assembly and debugging stage. We plan to complete the full function flight testing soon and initiated the airworthiness certification project it will be unveiled to the public shortly.
Operator: Thank you. Seeing there are no more questions in the queue, let me turn the call back to Ms. Anne for closing remarks.
Anne Ji: [Foreign Language] [Interpreted] Thank you operator and thank you for -- all for participating on today's call. If you have further questions, please contact our IR team by email or participate in the following investor events through the calendar information provided on our IR website. We appreciate your interest and look forward to our next earnings call. Thank you.